Operator: Good afternoon, everyone and welcome to the Third Quarter 2023 Earnings Release Conference Call for Livent Corporation. Phone lines will be placed on listen-only mode throughout the conference. After the speakers' presentation, there will be a question-and-answer period. I will now turn the conference over to Mr. Daniel Rosen, Investor Relations and Strategy for Livent Corporation. Mr. Rosen, you may begin.
Daniel Rosen: Great. Thank you, Paul. Good evening, everyone, and welcome to Livent's third quarter 2023 earnings call. Joining me today are Paul Graves, President and Chief Executive Officer; and Gilberto Antoniazzi, Chief Financial Officer. The slide presentation that accompanies our results, along with our earnings release, can be found in the Investor Relations section of our website. Prepared remarks from today's discussion will be made available after the call. Following our prepared remarks, Paul and Gilberto will be available to address your questions. Given the number of participants on the call today, we would request a limit of one question and one follow-up per caller. We'd be happy to address any additional questions after the call. Before we begin, let me remind you that today's discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including, but not limited to those factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Today's discussion will include references to various non-GAAP financial metrics. Definitions of these terms, as well as reconciliation to the most directly comparable financial measure calculated and presented in accordance with GAAP, are provided on our Investor Relations website. And with that, I'll turn the call over to Paul.
Paul Graves: Thank you, Dan. Good evening, everyone. I promise no bad Halloween jokes tonight. I promise. We reported third quarter results that were highlighted by adjusted EBITDA of $120 million, up 8% on a year-over-year basis, with a margin that was roughly flat versus the prior quarter and a nine percentage point higher margin than a year ago. We're providing an update on progress with our multiple capacity expansion projects, including the impact on expected sales volumes over the remainder of 2023 and into 2024. We will touch on the recent feasibility study released for the Nemaska Lithium project in Quebec, which further underscores both the quality of Nemaska's assets as well as its importance in serving growing supply chains in North America. Finally, we will provide an update on our pending merger with Allkem, including the continued progress that has been made and what you can expect in the coming months as we move to meet the targeted close of around the end of 2023. Before providing some market perspectives and a live business update, I'll turn the call over to Gilberto to discuss our third quarter performance, as well as our revised full year 2023 financial guidance.
Gilberto Antoniazzi: Thanks, Paul, and good evening, everyone. Turning to Slide four, Livent reported third quarter revenue of $211 million, adjusted EBITDA of $120 million, and adjusted earnings of $0.44 per diluted share. Volume sold were roughly flat, and lower average realized prices were offset by lower overall costs versus the second quarter of 2023 and the third quarter of 2022. Although revenue was down 9% on a year-over-year basis, we were able to increase adjusted EBITDA by 8% over the same period. Despite some of the recent declines seen in the retail market prices, Livent's adjusted EBITDA and margin continue to be near all-time highs, reflecting the benefits of our commercial strategy, as well as the low-cost position of our resource in Argentina. Third quarter volume sold were in line with our expectations, as we stated that any meaningful expansion volumes would only be available in the fourth quarter. On pricing, Livent's average realized price in the third quarter were lower than the first half of this year, as anticipated, reflecting the continued price declines seen in the market since late Q2, particularly in China. Offsetting this was an improvement in overall costs. This was driven by a few factors. Most notably, lower royalties due to the decline in Argentina and Chile [ph] export reference prices, as well as lower input costs for our other specialty businesses, particularly for butyllithium. This resulted in adjusted EBITDA margins remaining unchanged compared to the second quarter of this year, and nine percentage points higher than a year ago. Livent's total capital spending year-to-date was $239 million, below adjusted cash from operations of $274 million. We expect spending to increase in the fourth quarter as we progress multiple expansions, and our estimate for 2023 total capital expenditures between $325 million and $375 million remains unchanged. Our balance sheet and overall liquidity remains very strong. We ended the quarter with $113 million in cash, and no draw under our $500 million revolving credit facility. The combination of our current cash position, a strong outlook for cash generation, and our ability to draw on the credit facility give us continual confidence in our ability to internally fund our capacity expansions. Moving to Slide five, you will see Livent has adjusted its guidance for full year 2023 financial performance. Compared to the prior year guidance, this is driven primarily by lower expected volume sold, along with a smaller expected price increase year-over-year versus 2022. For volumes, the company now expects minimum incremental volumes from capacity expansion in the fourth quarter of this year, resulting in roughly flat volumes for the full year. This will result in higher volume growth in 2024, as we still expect a substantial portion of the 10,000 metric tons of new lithium carbonate capacity to be available. Paul will go into further detail on our expansions shortly. For pricing, we still expect meaningfully higher average realized prices per LCE versus 2022 with a year-over-year increase in the 10% to 15% range based on our guidance, following the roughly 130% increase we saw in 2022. We also expect lower costs versus the prior year, primarily related to raw materials and third party purchases. The company now projects full year 2023 revenue to be in the range of $890 million to $940 million and adjusted EBITDA to be in the range of $500 million to $530 million. This still represents significant growth of 13% and 14% respectively at the mid points versus prior year. I will now turn the call back to Paul.
Paul Graves: Thanks Gilberto. With the significant downward moves we've seen in lithium market prices in recent months, I wanted to give you our perspectives on what we believe drove these movements and what we might be able to expect in the future. When looking at the main lithium indices, it's clear that prices moved lower during the third quarter and we've seen that with our own market price based customers as well from data reported by others in the industry. However, when we look at the underlying demand and supply data points year to date, we don't see strong evidence that either is meaningfully different to what we had previously expected. On the demand side, we can see that customer buying activity for lithium in Q3 was weaker than what end market demand indicators would imply. For example, NEV battery installations in China were up 24% year-over-year for the third quarter and were 32% higher through the first three quarters of 2023. EV sales in China continue to reach new records during the third quarter. Globally, EV sales grew 25% in the month of September and are up 37% year-to-date, but it's fair to say that in the third quarter we did not see demand for lithium at levels that are consistent with these numbers. On the supply side, the third quarter typically has higher seasonal production in China, but the amount of new supply that actually came to market was not meaningfully higher than most analysts forecasted. We continue to see production expansion delays globally and keep in mind that the increased sources of supply that most observers typically point to, namely African spodumene or Chinese lepidolite are much higher cost material on the global cost curve and certainly a higher cost than today's indices are pointing to. In fact, we've already started to see reduced production from some of these higher costs and largely unintegrated operators. And as we've said in the past, the amount of lipidolite production that has come into the market is actually a symptom of insufficient supply from other sources. Also, it's worth noting that the average lithium content in hard rock production has been lowered in most operations resulting in greater output, but higher processing costs and lower downstream utilization rates. What we see is that the energy storage supply chain, broadly speaking, is working through inventories that were built at the end of '22 and early 2023. We see this destocking occurring well downstream of lithium itself with battery cell producers, mainly in China, curtailing or even stopping production as they reduce their inventory levels of finished cells and as we've seen in prior lithium price cycles, the magnitude of price moves for lithium is being amplified by the behavior of lithium purchasers, particularly in China. With underlying long-term end market demand remaining strong and supply chain inventory levels declining to levels that cannot support more than a few weeks or maybe months of sales, if history is repeated, we will see a rapid increase in the price of battery materials when buying restarts. It's important to note that this dynamic we are referring to is not being driven by the behavior of Livent's core customer base, namely the global OEMs. They continue to be highly focused on securing reliable sources of long-term lithium supply, and especially through supply chains that are able to be all or in part IRA subsidy eligible. This key customer base is also focusing more closely on its role as a partner in providing commercial, technical and financial support for lithium development projects. And while we expect OEMs to continue to seek out ways to stimulate more lithium production in the future, we believe they will be far more focused on supporting proven companies rather than those with more expensive or technically challenging resources. The key takeaway I would leave you with is that today's market conditions do not, to us, reflect equilibrium supply demand conditions for lithium. The factors that give us confidence in sustainably higher lithium prices in the foreseeable future haven't changed. Demand growth for qualified, high-quality product continues to be extremely challenging for the supply side to meet in the near to medium term. The trend of greater customer demands and tighter product standards continues. The marginal producers continue to have production costs in excess of the current index prices and in addition, we see no strong indications that a pullback in underlying energy storage market demand is imminent or that there have been fundamental changes to the longer term growth trajectory for the lithium industry. I'd like to go into more detail now on the status of Livent's multiple ongoing expansion projects on Slide seven. In Argentina, work continues on the company's two equal 10,000 metric ton phases of lithium carbonate expansion. Construction for the first phase is complete and was finished in line with the timing expectations laid out at the beginning of this year, but the process of commissioning the new units has been slower than we had previously forecast. There are always issues discovered in the transition from construction to early stage commissioning. However, we are finding they are more challenging to resolve when operating in remote regions and especially in jurisdictions where access to specialized skilled labor is limited due to a lack of local talent and challenges in bringing international expats into the country. In addition, where there are greater controls around imports of replacement parts, such as in Argentina, further delays are taking place. These challenges are not specific to Livent or our production processes. In fact, we don't even believe it's limited to the lithium industry as a whole, as lithium expansion projects compete with projects in other sectors, such as oil and gas and mining, the limited manpower, materials and equipment. This delay in our first phase commissioning means that Livent no longer expects incremental expansion volumes to be available for sale in 2023 and this is reflected in our updated guidance. However, we are forecasting a substantial portion of the 10,000 metric tons of capacity to be available in 2024, with the first commercial volume sold in the first quarter. In addition to this expansion, the second 10,000 ton carbonate expansion phase in Argentina is expecting first commercial volumes to be sold in the second half of 2024. Our lithium hydroxide expansions in the US and China are progressing on track and as previously communicated. The company's additional 5,000 ton hydroxide unit in Bessemer City, which was completed last year, has been producing material while getting qualified with relevant customers and will ramp up next year alongside the first Argentina carbonate expansion phase. Construction is also well advanced at the 15,000 metric ton hydroxide facility at a new location in the province of Zhejiang, China, with completion targeted for before year-end 2023, which is slightly ahead of schedule. This 15,000 metric ton facility will double Livent's production capacity in China. By the end of 2024, Livent will be largely balanced between lithium hydroxide capacity and the carbonate production capabilities to feed it. During the third quarter, Livent released an SEC SK1300 compliant feasibility study for the upstream Whabouchi mine portion of the Namaska Lithium Project. As a reminder, Livent has a 50% equity interest in and provides operational support to the integrated 34,000 metric ton lithium hydroxide project located in Quebec, Canada. Livent is providing technical and commercial expertise and has been appointed to engage in sales and marketing efforts on its behalf. Namaska lithium comprises two development projects, the Whabouchi mine and the Bécancour lithium hydroxide plant. The feasibility study for Whabouchi is a comprehensive technical report supporting the underlying economics of the Namaska Lithium Project. This project continues to be very attractive due to its scale with an asset operating life of over 30 years based on current resource definition. It's strong relative cost position, its strategic location in North America to serve growing regional demand and its favourable sustainability profile, including access to low carbon hydroelectric energy. The study is consistent with our previously outlined expectations for the project. Total capital requirement for the development of the Whabouchi spodumene mine and the integrated lithium hydroxide facility in Bécancour is projected at approximately US $1.6 billion with Whabouchi comprising roughly $400 million of the total amount. Commercial sales of spodumene concentrate are expected to begin in 2025 and continue until the lithium hydroxide facility comes into full production. First production of lithium hydroxide is expected in late 2026. Having recently celebrated the five year anniversary of Livent's IPO, we wanted to review what Livent has achieved in that five year period and what has been a very dynamic and often unpredictable market. Five years ago, although demand expectations for lithium were high driven by the rapid adoption of EVs, there was much greater uncertainty about the pace of adoption than there is today. Only China had made a significant push via government support and the US was not expected to play a major role in the near term demand or supply picture. The fast growth of demand in Europe, largely due to EU policy setting and the direct incentives provided in the US by legislation such as the US Inflation Reduction Act was certainly not seen as likely. Battery technology was still in flux. The debate between lithium carbonate, whether lithium carbonate or hydroxide was going to be predominant was still a major debate, at least with investors. But on the supply side, the bears pointed to massive expansions in low cost brine resources in South America, fulfilling all future demand needs and possibly more. But what we've actually seen is brine based production steadily lose market share in this timeframe. Others thought novel extraction technologies, such as direct lithium extraction or DLE, would move the cost curve lower, but again, we've actually seen Chinese lipid light resources with the production cost three to four times out of lithium triangle brine operations coming into operation to meet supply shortfalls. As these dynamics have unfolded, we've seen lithium indices mature and as they have done so, we've seen a fundamental shift take place in how high and how low lithium pricing can go. Until the last few years, the peak pricing we saw for lithium carbonate, and then really only for a few months, was in the low $20 per kilo. The last two years, we saw multiple courses with carbonate pricing of two or three times that level and on the low end in 2020, we saw carbonate prices fall to $6 per kilo and even lower, but as demand growth has required higher cost resources to come online, and as the true capital cost of lithium projects has slowly been revealed, today we see a cost curve where a meaningful proportion of global supply is today operating at marginal costs that are at least three times that level. Even prior to 2018, Livent was looking for ways to improve its profitability profile, both in absolute terms, but also in terms of predictability of earnings. Livent has always looked to maximize the sale price of every lithium unit we produce, and also create a business that protects us from the most extreme volatility in lithium pricing. The benefits of this approach can be seen when looking at our historical realized price per lithium carbonate equivalent, or LCE, as well as analysing year-over-year changes in that realized price versus market-based references. We've attempted to summarize the results of this strategy on Slide eight. The first thing you can see is that in almost every historical market environment, we have typically been able to generate a higher price for each unit of lithium we produced compared to selling lithium carbonate to customers at market prices. By focusing on building a leading position in value-added products, we have meaningfully outperformed in pricing terms, but just as important, we've been able to reduce the volatility of our realized pricing year-over-year, creating greater predictability of earnings, which is a key benefit when assessing the attractiveness of investing in multi-year lithium projects. You can see from this data that when market prices were at their lowest in the 2019 to '21 period, Livent had its greatest outperformance in terms of both pricing levels and predictability. While the large and rapid run-up in market prices in 2022 meant we underperformed in terms of pricing growth, as pricing recedes from these historic highs in 2023, we've restored our price premium and expect it to grow further still by the end of the year. It is with this same perspective that Livent will look to operate its business moving forward and how the company ultimately believes it will drive the most value for shareholders. With this said, I want to highlight some of the key tailwinds behind our business and what you can expect from Livent as we move through 2024. First, Livent will be producing and selling meaningfully higher volumes to customers next year, potentially 50% more than in 2023. This is the result of multiple years of expansionary investment and this trend of increasing year-over-year volumes will continue for the next few years. This also means that we will be generating higher cash flow in 2024 under a wide range of different price scenarios, including one where market prices remain at today's level throughout 2024 and we intend to continue to use this cash flow to fund multiple highly attractive capacity expansion opportunities available to us while maintaining a healthy balance sheet. Livent also chose to lock in some pricing for the business, which will benefit us in 2024, regardless of future market price movement. This was done as we continue to reset lower price contracts that were entered into with long-term customers prior to the run-up in lithium prices that began around 2021. Agreeing to fixed prices just for next year gives us some additional confidence of delivering a year-over-year price increase on a meaningful portion of our volumes. You should expect Livent to continue bringing greater clarity to his business through its commercial strategy, its diverse product offering, and leading cost profile. Livent's customers value the high quality of our products and our growth capabilities, and are willing to enter in long-term agreements with firm volumes and other forms of commitment to support us. In order to be a reliable partner, we will structure these contracts to give us confidence to invest in expansion while also retaining the ability to take advantage of market opportunities when available. Livent also benefits from the diversification brought by its other lithium specialties products, including butyllithium. In addition to serving a variety of attractive end markets outside of energy storage, the fact that price adjustments in these products are typically based on movements in key underlying input costs means that there tends to be more stability in the profit margins of these businesses. Despite the recent decline in market prices, Livent suggests that EBITDA margin continues to be about 50% today. This is a result of the company's best-in-class, low-cost resource base, and its operating cost discipline, which supports profitability through different market cycles and it is this discipline around pricing and costs that gives us confidence in our ability to continue to fund the investment in our world-class resources from internally generated funds. Now, everything we just discussed refers to Livent alone, but of course, we are nearing the closing of our merger with Allkem to create a leading global lithium chemicals producer. The merger will immediately increase our global scale and growth profile, further diversify our asset base and product offering, and improve our vertically integrated footprint. You've seen our shared long-term vision for the new company before on Slide 10. While some of these strengths will take time to fully realize, we expect to see real tangible benefits in 2024, including improved product flows between our production assets and lower combined operating costs as we work toward run rate synergies of $125 million and one-time capital savings of $200 million. We will, of course, have more to share with you early next year after the close, but we remain excited as ever about the opportunities this merger will bring to all shareholders. I want to conclude on Slide 11 by highlighting some of the key merger-related milestones since our last earnings call, as well as what to expect ahead of our targeted closing. Livent and Allkem have received all required pre-closing regulatory approvals for the transaction, with the exception of foreign investment screening in Australia. Approvals received include antitrust in Canada, China, Japan, South Korea and the US, as well as completion of investment screenings in the UK and the US. Additionally, we have announced that the name of the combined new company will be Arcadium Lithium. Upon closing, Arcadium Lithium is expected to trade on the New York Stock Exchange under the ticker ALTM, and CDIs, or chest depository interests, are expected to be quoted on the ASX under the ticker LTM. The Australian scheme booklet, which includes the independent expert report, should be ready for Allkem's investors shortly, and we also expect to provide the S4 proxy statement to Livent stockholders in the coming weeks. Once all relevant documentation is approved by the applicable regulators and distributed, Livent and Allkem will seek approval from their respective shareholders as special meetings expected to take place late in the fourth quarter. Dates for the votes should be announced shortly, and the transaction is still expected to close around the end of calendar year 2023. With your support, we look forward to combining our teams, assets and collective strengths to create a leading integrated global lithium company. I will now turn the call back to Dan for questions.
Daniel Rosen: Thank you, Paul. Paul, you may now begin the Q&A session.
Operator: [Operator instructions] We will first discuss the need to Kevin McCarthy at Vertical Research Partners.
Kevin McCarthy: Yes, good evening. Paul, as lithium market prices continue to descend, what destruction of supply have you witnessed, and where do you think prices might stabilize based on your forward view of demand?
Paul Graves: Yeah, look, I think we've seen probably three areas of supply interruption. The obvious one and we probably see a few announcements overnight last night coming out of China, where non-integrated producers are shutting down, whether that's for extended maintenance periods or whatever the reason is. We're certainly seeing the economics of running a plant such as that really require the producer to have two trade-offs. Keep the plant running and maybe cover your fixed costs and run on a contribution basis, but after a while, it just becomes too expensive, and so it's cheaper to put the plant on hold for a while. So we've certainly seen a few of those. We've seen lipid light production reduce. It's not always as clear as we would like, but some of the data I've seen suggests a 40% or so reduction in lipid light production starting to take place in China. And frankly, we don't see many people looking to maximize production from existing operations. I think where possible, people are looking to run the most efficient way that they can, and if that means maybe dialing back some production for a while, then that's what we've seen some of them do at the margins and again, a few announcements suggesting that there will be production cuts from some existing operations out there. In terms of where it stabilizes, it's a trillion-dollar question. I think you've heard me say in the past that pricing above $40, $50 a kilo just isn't rational and couldn't be justified by fundamentals. I think pricing at much below $20 a kilo with today's supply curve also can't be rationalized for a long period of time and isn't supported by fundamentals. Doesn't mean it can't happen for a couple of quarters. I think, again, you've probably heard me talk, this sort of, pick your number anywhere between low 20s and high 30s a dollar a kilo, depending on the grade, depending on the product, depending on the geography, seems to be a place that you get both appropriate return on existing assets, but also sufficient reinvestment economics to continue to invest in the assets. Unfortunately, I suspect pricing will be constantly passing through that range, upwards and downwards, for a few years still to come.
Kevin McCarthy: Thank you for that and then secondly, if I may, Paul, if the current production expectations hold in Argentina, how much would you expect your production capability to grow in 2024? Is it fair to say it would be perhaps 40% or more?
Paul Graves: I think by the end of the year, our production capability will be almost double what it is today in Argentina. In terms, if you talk about ability to produce and sell, and I've become a bit gun-shy over the challenges on commissioning, but certainly 40% is absolutely well within the range. The first expansion, 9,500 tons, is essentially largely complete today. It's just this final commissioning step, and we're hoping to start production at some point in December, which gives us commercial volumes early next year, month or two range of that and then it's just a function of how quickly we ramp up, but certainly you can expect 7,000 tons, 8,000 tons, 9,000 tons more capacity, which itself represents, a 35% to 45% increase. With the second phase also looking to be mechanically complete by the middle of the year, and we are, by the way, changing our commissioning process for the second phase to sort of have an ongoing commissioning rather than wait until all construction is complete in order to help accelerate the gap between construction completion and production. We certainly expect to get some volumes out of that second expansion too. So certainly in those kind of range numbers you're talking about are absolutely base targets for us.
Operator: Thank you, we go next now to Chris Kapsch at Loop Capital Markets.
Chris Kapsch: Yeah, good afternoon. Curious about your comments about the de-stocking activity in China, juxtaposed against a comment about the end market demand remaining relatively stable or unchanged in terms of its growth. So just curious if you have any visibility into where that overbuild has happened? Has it been more a function of an overbuild of the overall giga factory capacity, or is it existing justifiable suppliers that just simply overbuilt their inventories as prices were going higher or maybe on bigger expectations of growth rates? Any visibility there?
Paul Graves: Yeah, look, I think the best I can offer you is the following. We characterize battery cell producers in China as tier one, two, and three. And we've certainly seen some of the larger tier two guys be particularly keen to pull back production, whether they were building to try and take market share from the big tier ones, whether they were running their assets at, if you built a plant and you're running it at 25% utilization, that's not economically sensible. So we've certainly believed that there's been a number of producers out there running at the utilization rates that make the plant now profitable, but produce more cells than they actually have sold with the expectation that they can then go win market share by having these cells available. In order to bear in mind, there were about, I think we counted 70 battery manufacturers in China, not only these, some of them are in stationary storage and other applications. And you've, I'm sure, seen a lot of commentary pushing from Chinese policymakers for some consolidation in this entire supply chain. There's no doubt there's been financial pressures on some. And those that have attempted to survive by lowering their unit cost, building cells, and then trying to find business for them don't seem to have been particularly successful with that strategy. And financial pressures appear to have caught up with them in the second half of the year, forcing them to liquidate this inventory largely to stay alive. I don't think they all will stay alive, but that's sort of a trend that we've seen happening.
Chris Kapsch: Okay, thanks for that and then my follow-up question is just on your, your portrayal of the industry, certainly more sanguine than, I don't know how to describe it, the anxiety-infused mood of the stock market that's just devaluing lithium equities right now. So I'm curious if one of the themes that feeds into that, that investor sentiment is just more about perceptions of slowdown in North America, where your commentary is a little bit more about China, where the market is bigger. So, but I'm wondering if you're seeing or acknowledging any slowdown in demand in North America based on your conversations with that ecosystem and a little bit more nuanced to the extent that there is slowdown and it's about the price points, we seem tough to lower the prices that are needed to get these EVs more within reach of mainstream consumers. One way to do that is to reduce battery costs. One way to reduce battery costs is LFP over NMC. I'm wondering if that whole theme is manifesting in a way that's shifting a little bit of the market in North America more towards LFP based on your commercial engagements with these customers. Sorry for the nuances, but.
Paul Graves: No, no, look, a lot of questions in there, but let me tackle a couple of them, maybe in reverse order. I don't see any change in the LFP versus high nickel trend. We always expected lower nickel batteries, whether it's LFP or others, to be an important part of the lower cost vehicle market, the high volume market. So I still expect that to be the case. And the high nickel expectations and therefore the lithium hydroxide expectations. I have to be a little bit careful with this, right, because I can go back two or three years and sometimes important, one problem with the lithium industry is, as we don't really have a precedent for it out there over the last 20 years or 30 years, but what we are starting to see now is at least we're seeing some cycles that are going through sort of, if you will, some kind of EV or energy storage cycles rather than other industrial application cycles and what we're seeing in here, and we go back and look at the last five or six years, which feels like a lifetime to some of us and we compare the first conversations we had with OEMs, maybe not even two or three years ago, and they would share with us their expectation for the lithium hydroxide demand in, let's say, '27 or '28 and in that two or three years, their expectations for that number has more than tripled on a customer by customer basis. We never thought that was achievable. We never seen that that is going to be possible in terms of building a supply chain that quickly. We have always had big chunks of some of these independent or individual OEM statements about what their capabilities are and so for us at least, and that's why it's a difficult conversation. When we say we don't really see the market developing in any different way than what we expected, we're very sensitive to the fact that what we expected may not be what the market expected, but we've tried to be relatively transparent about this, that we don't see, we see supply continuing to be the constraint on demand. And we see today supply will be the constraint on demand for the next few years, for the foreseeable future. I don't think really changes in sentiment with the major OEMs are particularly dramatic. I think they are a natural part of the process of the teething problems that North America is absolutely going to go through in this inevitable transition to EVs, whether it's smaller, cheaper vehicles or not, whether it's challenges with charging infrastructure that need to be addressed first over the next few years. These are all bumps in the road, but the long-term trend is not impacted at all, to be honest, Chris, by this.
Operator: Thank you. We go next now to Corinne Blanchard at Deutsche Bank.
Corinne Blanchard: Hey, good afternoon, thank you for taking my question. Could you go back a little bit on the guidance revision? I think you mentioned and you focused quite a lot on the volume impacting most of it, but could you give us the tech input, to other low end and the high end of the guidance?
Paul Graves: So Gilberto do you awnt to take that?
Gilberto Antoniazzi: Yeah, so Corinne, in terms of the guidance, the revision down is again, primarily driven by volume and the way you got to look at that is, we're taking approximately 3,500 metric tons down in terms of volume for this year and that's primarily what is driving our revenue and EBITDA down for this year. And from an EBITDA perspective, by losing this volume, part of this has been offset by improved costs that we're getting, particularly for some inputs that we use in butyllithium and even on hydroxide and carbonate production, and the lower royalties in Argentina. So pretty much from a revenue perspective, is 3,500 metric tons of LCEs and from an EBITDA perspective is the price, the benefit impact of this 3,500 metric tons, offset by cost improvement that we're achieving throughout this year, throughout essentially the second half of the year.
Corinne Blanchard: Thank you. And then just as a follow up, I'm going to keep with you, Gilberto, but in terms of cost expectation, because I think you have been doing pretty good in terms of cost control and percentage of volume. Can you try to give us a little bit of color what to expect for the last quarter and also into 2024?
Gilberto Antoniazzi: In terms of cost, you said?
Corinne Blanchard: Yes.
Gilberto Antoniazzi: Look from a cost perspective, actually we've been having some good news, as you probably see in the back slide we have. We actually have a favourable quarter over quarter on cost, again, driven by some of the royalties and some inputs that we purchased from third parties. And we expect to see the same in Q4. So again, we continue to see some, frankly, not expected, but very good cost improvements over the second half of this year. And looking to next year, again, for you a little early, we're just in process of start planning for next year, but I think we will, some inputs that we buy, they are driven by carbonate prices in China, to be honest. So if price remain what it is, we're going to have some improvement costs in our specialty business and I think we might have some benefits also for currency in some other countries. But again, it's a little early to say that, to confirm that.
Operator: We'll go next now to Aleksey Yefremov at Keybanc.
Aleksey Yefremov: Thanks, good afternoon, everyone. Paul, is repayments from customers still a potential source of attractive funds for Nemaska in current environment?
Paul Graves: Okay, I think the IRA is a different formula for many of the customers in terms of what they're trying to do. And I think securing low cost IRA qualified material. In my conversations today, the conversations and the opportunities for support and help that we saw a year or two ago are still on the table today. Now, we've never thought this was available to everybody or for everything or for every single investment opportunity Nemaska certainly has some characteristics to it that you would think lend themselves pretty well to what a lot of OEMs are trying to do in North America. And if a prepayment helps secure favorable treatment at Nemaska, then generally speaking, absolutely, I think that conversation is a one that many OEMs are willing to have.
Aleksey Yefremov: Thanks, Paul. And maybe to follow up on Nemaska, given, let's say we stay with current pricing environment for a while and the current capital markets environment, is it still your expectation that you can, internally fund your share of Nemaska CapEx and with sort of free cash flow and whatever other means or don't need to go to the debt markets or something, some new level, some new form of financing?
Paul Graves: Yeah, look, absolutely. Look, I think Nemaska itself may tap some debt markets. We may, there's a lot, as I'm sure you know, a lot of capital out there has been chasing lithium and it's not always necessarily what I'll call commercial opportunities. There's some opportunities from incentives, from governments, from innovation type funds and so on and so forth. And there's definitely going to be opportunities for that. We absolutely expect to be able to fund our portion of Nemaska's capital requirements and all the conversations we have with our partner IQ are all on the basis that Livent will be funding its share of the equity required in there from internal sources. We will not be heading into the debt or the equity markets to fund Nemaska.
Operator: We go next now to Steve Burns at Bank of America.
Steve Burns: Yeah, thank you. In your due diligence with Allkem, and you certainly dug into that Olaroz lithium extraction facility in Argentina. I'm curious whether you see opportunities to improve that operation with your technology and or benefit from the access to labor challenges and replacement parts that you highlighted, Paul, and or could this lead to a pull forward of that Sal DiVita project that I think Allkem has pushed back a couple of years?
Paul Graves: Welcome back, Steve, by the way. Yeah, look, I think there's definitely opportunity. Let me step back a little. I don't look at anything Allkem has been doing in Argentina. I think it needs to be fixed. I think they're doing a fine job with what they have, what they built. I think we all know that there are certain decisions that we get made at various points in the life of a project that somehow constrain that project's capabilities in the future. So I think what Allkem or DiVita did originally is producing a mix of technical and battery grade that is probably not going to change. I don't think we've got this kind of big focus of ours to try and change that mix and I think they are doing actually a very good job of improving their production rates and their operating rates there, but the expansion's a different conversation and I think we both recognize how we can help each other and how, for example, expertise we have, and we've mentioned this before in DLE, at some point the LRO's facility's going to run out of land to expand to pond-based systems and so moving into some form of DLE-based process, which Allkem had already been looking at, we can absolutely accelerate. And we can also determine whether actually some pond-based expansions maybe are the right way forward for both our operations at Phoenix, but also integrating maybe what Sal DiVitadoes. I think there's big opportunities potentially to share infrastructure in Hombre Muerto between Sal DiVita and Phoenix. They're not far away from each other and shipping brine 10 kilometers from Sal DiVita to our processing capability, that's a drop in the ocean, no pun intended, relative to other brine trucking routes that we know exist out there in the lithium world. So I do think there are going to be some pretty meaningful opportunities to both accelerate and optimize our expansion plans for both parties.
Steve Burns: and then maybe moving north, do you think that your Whabouchi mine might benefit from what they've learned in James Bay? Pardon me and I think Allkem was planning to ship the James Bay spodumene to China. Is there the feasibility of processing that down at your Bettencourt facility?
Paul Graves: Yeah, look, I'm not sure Allkem were actually necessarily committed to shipping that spodumene concentrate to China. I know it was one of their options, but I don't think it was their first option. I think actually the benefits that we get from Whabouchi, and we see this when we talk to the Allkem guys about James Bay, is the expertise they have at Mount Catlin and the expertise and the knowledge they have of operating spodumene concentrate operations, trains, mining, everything. And they absolutely make a big difference to what we'll be able to do at Whabouchi. I think in terms of James Bay itself, I think the options around Bettencourt are certainly interesting ones. Bettencourt was always designed to be expandable. It's a 34,000 ton unit we have there. The footprint is big enough to at least double, if not more. There are maybe a few questions around infrastructure that we would have to answer, but certainly we've already expressed an interest in exploring whether that's the right economic model for James Bay post-close, but frankly, I think some of the options Allkem had on the table, whether that's making an intermediate product or building elsewhere, also absolutely deserve pretty serious consideration too.
Operator: We go next now to Pavel Molchanov at Raymond James.
Pavel Molchanov: Yeah, thanks for taking the question. Obviously there have been other M&A headlines across the lithium value chain and I'm curious, once the merger of equals closes, do you perceive the combined company as a consolidator for the future, particularly with regard to some of the junior miners?
Paul Graves: Look, I think an important capability we have, I just mentioned it, is our Australian capabilities. And we have a mine that is getting toward, or will have a mine that's getting towards end of life above ground and so I certainly think understanding and capabilities to go underground, what those economics look like, whether it makes sense, but I also think we have the capabilities there, absolutely, to look at junior mining opportunities down there in Australia, for sure. Everything's a value conversation, right? Everything's a good value. There's a massive disconnect today, massive, between the value someone's ascribing to a very, very, very early stage or technically challenging project in Australia, with only a maiden resource, without full ownership, all sorts of technical points. There's a lot of value being assigned to those by various people down there in Australia and so a little challenging to me, to be perfectly honest, to know where the Australian M&A market plays out, and therefore what opportunities are going to be available to us, but we absolutely want to have a significant mining presence in Australia and that will almost certainly mean that we have to get pretty aggressive with our strategy of acquiring new assets over there at some point post-close.
Pavel Molchanov: Okay, following up, thinking about live and standalone, your capital program this year is at a record level, $350 million at the midpoint. Directionally, how much higher will that be in 2024?
Paul Graves: I can take that, Paul. Yeah, I think for next year, as a live and standalone, we'll be a slightly lower level than we are this year.
Pavel Molchanov: Okay, that's really helpful.
Gilberto Antoniazzi: But if I could maybe just add a comment to that though, because I think it's an important point. Of course, it's important to know what the capital investment that we have. I think you've seen the balance sheet that we have today is pretty solid. You see the cash flow that we're generating today. We look into 2024, and when we look at the volume increase that we have coming, when we look at the amount of our portfolio that is already either locked in and agreed pricing with customers, or is structured in such a way because of the way we price it off input costs, where the profitability is pretty stable, pretty predictable, pretty clear. We're expecting cash flow to continue to grow in the future. If market prices stay exactly where they are today, right now, for all of next year, it's hard for me to imagine a scenario where our internally generated cash flow, our EBITDA, does not climb next year because of the way we structured our business and the way we're going about taking our product to the market.
Operator: We go next now to David Zhang at CICC.
David Zhang: Good afternoon, foreign team. This is David Zhang from CICC. Thanks for taking my question. Our first question is that, given that compared to your original plan, it may take more time for your carbonate from Argentina to catch up with your lithium hydroxide expansion. So how would you utilize these new hydroxide capacity? Would it be possible to do something like toll treatment or it is necessary to wait until your new carbonate volume from Argentina is online?
Paul Graves: Good question. I don't think tolling them is a sensible option for them. I'm not quite sure who we would toll for. It would require somebody with excess carbonate, but that is maybe to make commitments in hydroxide that they can't meet and are therefore looking for someone to toll for them. Also not frankly a business we want to get into. The tolling business is not our business. Could we purchase third party carbonate and use that third party carbonate in those plants? Maybe. The challenge with that, frankly, there's a couple of challenges. One of them, we found the supply very unreliable. People will supply us carbonate when they've got excess carbonate, want to move it. The minute they can shift it somewhere at a higher price, they either jack our price up or they won't and we don't price up markets, so the economics are a little complicated for us to be certain of. But the second thing, just as important, our customers have pretty rigorous qualification processes. And if we produce hydroxide from carbonate, if we change that carbonate, we have to requalify it. These are not plants that necessarily lend themselves to switching supply very quickly. We can, of course, and we will, and have in fact qualified more than one source of carbonate, but you have to have a lot of confidence that that carbonate's going to be there to go through that process. I think frankly, our expectation is that we will, if we're not running them flat out on day one, we don't run them flat out on day one and we wait for both the carbonate to be available and the appropriate customer contracts to be in place before we start producing them.
David Zhang: Yeah, thank you, Paul. Crystal clear and a quick follow up on your fixed price contract of lithium hydroxide. Will we still expect some price reset again by the end of this year?
Paul Graves: Yeah, we don't actually, I've got to be careful with the terminology. We don't actually have any fixed price contracts anymore. All of our contracts have moved to market-based pricing. That does not mean daily, monthly, weekly, whatever, pricing against an index in most cases, but we do have a structure with our customers where it either is mechanically predefined. So we know exactly where the price will go relative to market prices. Or we have the opportunity to sit down with them as we've done last year and we've done again from 2024 and say, let's agree on a price for 2024 based on market conditions and that will be the price at which we sell you in 2024. We'll continue to explore those opportunities, but frankly, as our portfolio grows, as we have more material available and probably more contracts that are truly market-based, we'll continue to value even more some of the fixed agreements, annual fixed agreements, which really kind of hark back to how lithium was priced six, seven years ago to help bring some predictability to our earnings profile. So we will continue to do that. I think you've seen from the data, the over cycles, we're not leaving value on the table from this approach, quite the opposite. We actually think that by having more predictability and ultimately premium pricing over volatile market prices, we're actually generating more value from this strategy, even if in any given quarter, you might see things a little differently from the outside.
David Zhang: Understood, that's really helpful. I'll pass it on.
Operator: And ladies and gentlemen, it appears we have no further questions today. And Mr. Rosen, I'll hand things back over to you.
Daniel Rosen: Great. That's all the time we have for the call today, but we will certainly be around following the call to address any additional questions that you may have. Thanks everyone, and have a good evening.
Operator: Thank you, Mr. Rosen. Ladies and gentlemen, this does conclude the Livent Incorporation third quarter 2023 earnings release conference call. Thanks for joining. You may now disconnect.